Operator: Good day, ladies and gentlemen, and welcome to the Airtel Africa Full Year Results for the year-ended March 2024. [Operator Instructions]. I would now like to turn the conference over to Segun Ogunsanya. Please go ahead, sir.
Olusegun Ogunsanya: Thank you. Hello, everyone, and thank you all for joining us today. I have with me Jaideep, Group CFO; Alastair, who is Head of Investor Relations; and Sunil, who's incoming CEO, who's joined us on this call. Let me give you some very brief highlights somebody last year. I'll provide an update on the strategy before I hand over to Jaideep, who is going to go through the financial results in detail. Over the last year, the macroeconomic and often environment has been particularly challenging in many of our markets. However, the focus on our strategy has ensured strong underlying momentum, which has driven a very resilient performance across all of our regions. This has supported strong constant currency revenue growth, which is able the continued inflationary and FX pressures we offer across our cost base, ensuring a resilient EBITDA margin. In addition, we have seen continued success in the derisking of our balance sheet. Our purpose, as we say every time is to transform lives across Africa. This trend of the business supports employment. It contributes to economic progress, while supporting the local communities, continued infrastructure investment remains key to the development of the nation's economies, and we continue to bring communities closer and give them the opportunity to access affordable financial services sometime for the very first time. Value creation for all stage has been evidenced by our many successes. We have not given a very challenging opinion environment and deliver strong customer growth of 9%. Usage just increased our gross voice, data, mobile money, leading to an increase of almost 11% in ARPU, reflecting the underlying demand and affordability of our key services. This sustained demand for our services has resulted in a 2.9% increase in constant currency revenues in the year. This asserting with us to limit a part of inflation on an EBITDA margin. Importantly, we are now in a net cash position at Oko, reflecting the excellent work we have put in to improve the capital structure for the group to continue to extremes and the reduction of foreign currency debt. This has been achieved with continued network investment to support the current growth and future proved growth ambitions. The substances are equal report directly EBITDA policy with a 49% increase in our final dividend to $0.55, which combined with the launch of the 10 mild buyback in Mag reflect the continued commitment to shareholder returns. Slide #5. I think what was in our performance to the content of the government we operate in Africa. And I'm going to highlight challenges we faced and now we've mitigated against those challenges. First, the macro challenge is arcminutes by high inflation. However, with affordable and transparent offerings, we continue to provide value for our customers and ensure a very strong customer experience. Secondly, inflationary pressure remains a challenge for the business. We'll continue to operational leverage and for our cost optimization, EBITDA margins have remained resonated. Thirdly, quality productivity across the region is not a new challenge for us, but with a focus on derisking the balance sheet to continue upstreaming and releasing foreign currency debt, the pressures have been reduced consequently. Let me now update you on our priorities and achievement that I let our strategies working for us. slide #7, a couple of key drivers of the tester potential. We are providing a central service to almost 640 million people across 14 countries in Africa. The demographics of this market, combined with a very low level of simpatico will see further expansion of our customer bills, which when combined with increased usage will support strong revenue claims. Importantly, the mobile money journey remains a very early stage across all of our markets. This will further underpin the good momentum. What facilitates a strong track record. Very, very strong crush and core. But in large 5 consecutive quarters, we have reported double-digit revenue and EBITDA growth, which has shown how we as an organization, we have the right framework and message to continue delivering against the major opportunities across the markets. Equity growth algorithm. The algorithm on this chart, just how our cation success has been achieved, and also explain financials how we intend to sustain the strong growth momentum going forward. The growth in the customer base across all segments, combined with increased ARPU, as increases is monetized translates into very some revenue growth. Operational leverage and cost optimization, both drive increased resources for investments during first inter growth, the apelin continued customer base growth. This cycle will continue to source in our strong operating momentum in the future. As a group, we are very clear on how to capture this growth. And I went with strategy has been very consistent about many years. This has been a key focus for us, particularly now that the environment is very challenging. Let me now go to our familiar win-win strategy. On this slide, I explain, describe the 6 key pillars. These are designed to capture the good opportunity as we transform lives in Africa. Clearly, the strategy is working. Over the next couple of slides, I'm going to on each of these pillars, have impacted our business and driving the successes that we have showed over the last financial year. Let me focus on technology and distribution pillars. We have continued to add new network sites around 3x in the year. We took a name this in rural areas, and we have maintained our focus on modernizing and increasing capacity with 95% of all of our sites now on 5G. This is driving our data capacity on the network, almost in higher than what it was. 5G has been lunching in 5 of our markets with 5G Nigeria, in Kenya, Zambia, Tanzania and in Uganda. We provide onsite now clear operational. In addition, we have also added 5,000 kilometers of fiber to retain kilometers, one of the largest in Africa. The second key pillar for us distribution and idea or just life at reflects our is network has expanded significantly by the year, both in terms of exclusive and nonexclusive channels. Our primary objective is to increase the scale of our distribution, reduce friction and get closer to the many customers we serve as we increase usage and our revenues. We have almost 4.9 million touch points for our customers. And we have seen a 12% growth in customer citing outlets and results contributed to the 9% growth in our customer base to over $152 million or almost $153 million. Our focus on digitalization is important to improve the customer experience and reach, and we have put more with our focus on dry military charges and on bodies. Slide 11 reflects our service across the data and mobile money pillars. Our tech strategy continues to support our win-win strategy, winning with data, with 95% of our growth momentum on 4G continues with a 42% growth in 4G customers survive year. This combined, we transferring our fans has been the primary driver of a 45% increase in data traffic across our network. Talking about mobile money, the win-win mobile money as focused on the accessibility of financial services to our customer base. Our exclusive distribution network has increased 27% to close to 110,000 with a 57% increase in our multi-branding. We also continue to focus on enhancing the use cases across the ecosystem. These are the solid 38% growth in transaction value, to over 13% increase in transaction by the customer. The lack of production of banking infrastructure in a market means that the number of customers who are able to access transition our budgets at this lower lemon before. Our focus remains on building the disruption network, increasing the use cases are ensuring the reliability of this platform. The last 2 set of pillars winning with costs are willing with Depo. It is very difficult to imagine a year where cost is not the more important input for our business. The macroeconomic developments and the continued inflationary pressures on our cost base, particularly energy costs have been a real challenge by the year. Despite this, rest EBITDA is a testament -- should we add work being done to mitigate against these strategies. Over the last 4 years, we have seen a 450-basis point increase in EBITDA margins, and continued increases in return on capital is a reflection of the success of our strategy. Talking about people, our people summarize our values. And this continues to be critical to our ability to deliver on our business strategy, particularly place on improvements in gender diversity as to continuously strive to make further progress on this agenda. Next 2 slides, I'm going to provide examples of a combination of these pillars play out in the lead war. My first example is in Zambia, one of countries in East Africa. Any one of our customers in Zambia, which is 4G coverage. By offering affordable and reliable 4G services, customized data users increased almost 50% in the year. At the same time, our increased focus on distribution supported increased mobile money adoption with annual transaction value of $27 billion. This almost equal to Zambia's GDP. The result of these initiatives, so 12% growth in the customer base, cementing our very strong market position in Zambia. Over the last 5 years in Zambia, our revenue growth submitted 5% each year, highlighting the continued success and relevance of our strategy. The Zambia case study depart only one were 4 pillars of our win-win strategy. The mobile money pillar, data pillar, distribution, and technology. Let me give another example in DRC. DRC is an underpenetrated market with a very young and often unbanked population. In order to grow financial inclusion, we invested significantly in our mobile money agents across the market with a one and twofold increase in mobile money agents to $156,000. This consumer customers use our services and let a 30% increase in the number of mobile money customers to over $3.6 million. Mobile money revenues in DRC increase at we said, reflecting a very strong performance, while the progress of distribution also supported our data pillar, and engagement with our customers is we go to enhance our customer base through promotional services, including mobile data, which contributed to a net addition of 48 million in DRC. Let me now talk about mobile money as we use the speed out to drive financial inclusion across our portfolio. In addition to telecom's growth opportunity, we had a very unique position to layer our national growth in the form of mobile money. Let me spend a few minutes on improves opportunity now approach capturing the opportunity. Mobile money services is noted by increased financial inflation across our markets. In very low levels of financial refusion as the one key reason for the 22% average in growth in the customer base in the last 5 years. It has also been reinforced by the cost feed that are the better of easy-to-use services with a focus on our visibility of float. So, customers can access the cash rents whenever and wherever they want it. For Slide 14. Just mobile money with financial increase of across markets. We believe there are 4 differentiating factors, 4 critical factors that are necessary for the success of Mobile money. On brand name, customers to use money, they need to know that the deposits are Civitas who have been building the brand for us of 1 decade with our financial institute. The second key ratio is distribution. Our years of investment behind GSM distribution infrastructure, they have come to support distribution of about mobile money services. The not one is parts and KYC. Most regulators, they are very conscious of the product of Know Your Customers, we developed very good technologies in deploying KYC initiatives, and finer once on targeted micro constructions. In an affordable manner that will support increased solution. Remember, our model is quite different. Our model is low value for high volume. If you compare this with typical banking model of very high value you can understand why we are very successful in Africa. Slide 17. Next slide, reflects mobile money strategy. We continue to have been the very strong performance across the business. I've discussed earlier, our first priority is access to the customer base. We do this by building a very wide distribution infrastructure, rural and urban. And this distribution for costs, combined with a very strong brand value has ensure acquisition strategy is capturing quality customers. Very fundamental feature success is to build relevant products across the ecosystem. We continue to roll our targeted services across to march our network and drive the enterprise segment by offering reliable and accessible services. We will continue to innovate, to driving previous cases and ensure providing best customer service and drive digital adoption to ensure ease of access for our customer base. The next slide again shows the continued evolution of our mobile money ecosystem. Like I mentioned earlier, the annualized bad is $173 million in constant currency. We still see the digital wallet cash and cash services as the major source of mobile money revenue. These very good potential for this probably increasing our penetration with new customers. But as also continued diversification of the business towards payment solutions, and also more sub scaled financial services. Now let me hand it back to Jaideep to run through the financial and previous second. Jaideep, please.
Jaideep Paul: Thank you, Segun, and good morning and good afternoon to all of you. Let me start with the key financial highlights. Our reported performance was negatively impacted by severe currency devaluation across key markets, most significantly in Nigeria, which happens to be our largest market, and as well as macroeconomic challenges. However, we continue to deliver good underlying results despite these headwinds. We expanded our customer base by 9% year-on-year to $153 million. This helped us to sustain our constant currency revenue and EBITDA growth momentum. Revenue growth for the full year was 20.9% in constant currency, with double-digit growth in all 3 key segments, namely voice, data, and mobile money. EBITDA grew by 21.3% in constant currency to reach $2.4 billion in reported currency. EBITDA margin resilient at 48.8% despite high inflation and rising energy costs across several markets. Operating free cash flow at $1.7 billion declined 7.4% on a reported currency basis. CapEx for the full year was $737 million, broadly flat from the previous year, but below our guidance due to different in data center investment in Nigeria and Kenya. Leverage at 1.4x was stable. The Board has recommended a final dividend of $0.357 per share, thereby making a total dividend of $5.95 for the full year FY '24, up 9% vis-a-vis last year, in line with our current dividend policy. Next slide, I think it is worth mentioning the 2 significant currency devaluation that we witnessed in the current year and their impact on our results. The first major devaluation was in Nigeria where naira devalued from USD 461 in March '23 to USD 1303 in March '24. This was the result of admonishment of segmentation and introduction of willing seller model by the Central Bank in June '23, and amendment of competition for the NAFEX rate by FMDQ Securities Exchange in January '24. As a result, naira devalued to 752 in June '23, continued to devalue to reach 952 by December '23 and following FMDQ Security Exchange competition amendment in January reached 1303 on 31st March 2024. In current year, this devaluation negatively impacted reported currency revenue by over $1 billion and EBITDA by roughly $550 million. EBITDA margin was also impacted by 70 basis points as a result of lower contribution from Nigeria to the group margin. The devaluation of U.S. dollar liabilities and derivatives resulted in another $1.1 billion of derivative and foreign exchange loss, out of which $770 million has been classified as exception in line with our policy on exceptional items. This devaluation additionally impacted another item comprehensive income by $0.9 billion, out of which $0.75 billion impact was on account of goodwill. Secondly, in Malawi, the Reserve Bank adjusted the selling rate of Malawian Kacha from 1,180 to 1,700 in November 2023, which resulted into derivative and foreign exchange loss of $37 million, which has been treated as exceptional items in line with our current policy. Next slide. On the mobile service performance, our mobile customer base grew by 9%, supported by growth across all regions. Nigeria grew by 5.3%, East Africa by 10.7% and Francophone Africa by 11.8%. In Nigeria, the customer base growth was negatively impacted by barring of customers pursuant to KYC directive by the regulator. Mobile service ARPU was $2.5 per customer per month, growing by 9.3% compared to the prior period, primarily attributable to data ARPU growth. Reported currency decline in ARPU was primarily on account of naira devaluation. Revenue for the year was $4.3 billion, which grew 19.4% in constant currency. EBITDA was $2.1 billion, grew by 18.8% in constant currency with an EBITDA margin of 48.8% declined by 73 basis points from the last year. Coming to the performance of mobile money, our Mobile Money customer base grew by 21%, transaction value per customer increased by over 30%, resulted into a 38.2% increase in the transaction value to over $112 billion for the full year. EBITDA was $436 million, growing by 39% in constant currency with an EBITDA margin of 52.1%, EBITDA margin improvement of 236 basis points as compared to last year. On the next slide, the overall revenue growth was 20.9% in constant currency, while in reported currency revenue declined by 5.3%. The impact of Nigeria naira devaluation, however, is not fully embedded in full year revenue since the devaluation occurred at various stages during the year. As a result, the next year reported currency revenue will continue to reflect the impact of currency headwinds experienced in FY '24. In the closing rate of 1303 Nigeria naira per USD were to be used to consolidate the results of the group for the year-ended 31st March 2024. Reported revenue would have further declined by $603 million to $4.4 billion, which is 16.7% year-on-year decline as opposed to 5.3% decline reported. In constant currency, all key service segments grew double digit with voice revenue up by 12%, data revenue up by 29%, and mobile money revenue up by 33%. On the next slide, we show the group EBITDA, which has declined by 5.7% in reported currency to $2.4 billion. Constant currency EBITDA grew by 21.3%. The EBITDA has been adversely impacted by $588 million as a result of currency devaluation, primarily in Nigeria. Similar to revenue, the impact of Nigeria naira devaluation is not fully-embedded in the full year EBITDA since devaluation occurred at various stages during the year. As a result, the next year reported currency EBITDA will continue to reflect the impact of currency headwinds experienced in FY '24. If we apply the closing rate of 1303 naira per USD, to consolidate our results of the group for the year-ended 31st March 2024. Reported EBITDA would have been further declined by $324 million to $2.1 billion, which is 18.3% year-on-year decline as opposed to the 5.7% decline reported with an EBITDA margin of 48.1%, while the Q4 EBITDA margin dropped at 46.4%. OpEx increase of $451 million during the year is primarily contributed by volume-driven increase of $286 million relating to additional sites, mobile money commission on the incremental revenue, and other revenue-linked expenses and balance $154 million is on account of rate increase, mainly on fuel price across, of course. Despite the above headwinds, the EBITDA margin for the full year was resilient at 48.8%. Going to 3 segments. First, on Nigeria, revenue grew by 26% in constant currency, supported by both customer base growth of 5.3% and ARPU growth of 19.1%. Customer growth during the year was relatively impacted by barring of customers pursuant to KYC directed by the regulator. Voice revenue grew by 20%, primarily driven by the voice ARPU growth of 13.2%. Data revenue grew by over 32%, contributed by 15% customer-based growth and 14% growth in data RPU. Data ARPU growth was supported by increased smartphone penetration and usage. EBITDA margin at 53.5% increased 202 basis points benefiting from the continued operational efficiencies and strong constant currency revenue growth. These prices have increased sharply in quarter 4. And if this continues, we can expect some headwinds even in the next year. In East Africa, revenue in constant currency grew by 25%, driven by double-digit growth in all 3 services of voice, data, and mobile money. Voice revenue grew by 15%, primarily driven by voice ARPU growth of 3.6%, customer base growth of 11%. Voice ARPU growth was supported by increased usage per customer, partially offset the interconnection rate reduction in Tanzania and Rwanda. Data revenue grew by 31%, largely driven by data customer base growth of 21.5% and data ARPU growth of 4.2%. Data ARPU growth was supported by expansion of the 4G infrastructure and 5G rollout in home markets in East Africa. Mobile Money revenue grew 36%, driven by 16% growth in customer base and 17% growth in mobile money ARPU. EBITDA margin at 53.3% declined 31 basis points, primarily impacted by rising fuel price in several of our key markets, coupled with inflationary pressure, partially offset by improved margin in mobile money segment. In Francophone, revenue grew by 10% in constant currency and was largely supported by customer base growth of 11.8%. Voice revenue in the current year was impacted by the interconnect rate reduction in some of the markets, thereby, it was almost flat on a year-on-year basis. Data revenue grew by almost 23%, contributed by 16% data customer base growth and 3% growth in data ARPU. Data ARPU growth was supported by increase in smartphone penetration by 4.3% to reach 38.4%, data usage per customer at 4.4 GB grew by 25%. EBITDA margin at 46% was marginally lower by about 97 basis points, partly due to onetime OpEx benefit in the prior period. The next slide shows the key components that led to increasing finance costs. As you can see, the finance cost, excluding exceptional items and Forex and derivative loss was higher by $59 million, largely as a result of increased local currency debt in operating entities in line with our pushdown data strategy as well as increase in the base interest rate on the local currency loan. Exceptional item loss of $807 million was relating to devaluation in Nigeria naira in June '23 and quarter ended March '24, reflecting the impact from the revaluation of USD liabilities and derivatives in Nigeria operations. Coming to the EPS. Despite our good underlying performance with double-digit growth in revenue and operating profit in constant, EPS has been negatively impacted due to Forex and derivative loss, primarily in Nigeria. Over and above the Forex and derivative loss related to revaluation of U.S. liability and derivatives, currency devaluation has also has an impact of translation on reported revenue and EBITDA. Therefore, the EPS before exceptional item and derivative and foreign exchange loss reflects a decline of 11%. Our capital allocation policy remains the same. Our key priority remains to continuously invest in the business along with further strengthening our balance sheet. Our CapEx guidance for the next year is between $725 million to $750 million, including about $40 million allocated for the Greenfield data center in Nigeria and Kenya. Returning cash to shareholders through our progressive dividend policy remain our one of the priorities, and the Board has recommended a final dividend of 3.5 per share, making a total of $5.95 per share, reflecting growth of 9%, in line with our current dividend policy. We continue to invest in future growth. We have invested $737 million in tangible CapEx during the year. Over 87% of our CapEx investment is geared towards growth initiatives, mainly to increase data capacity, coverage expansion, and strengthening the IT infrastructure. We have also rolled out approximately 5,000 kilometers of fiber network in last 1 year, resulting into 75,400 plus kilometers of total fiber network. Coming to the normalized free cash flow, despite significant currency and macroeconomic headway, we are able to generate positive cash flow of $234 million. This slide gives a bridge between EBITDA and normalized free cash flow. The difference between the 2 are the cash payments made in current year, which primarily includes about $1.1 billion in various payments made in terms of cash paid, cash tax paid, repayment of lease liability and cash interest. We have spent cash CapEx of $877 million, license renewal and spectrum acquisition of $152 million, which includes $127 million for renewal of 2,100-megahertz license in Nigeria. Hence, we have left with $234 million of normalized free cash flow at the end of March 2024. We continue to focus on strengthening our balance sheet by firstly reducing our foreign currency debt across OPCOs. OPCO data is due for repayment in May '24, and we have more than enough cash at OPCO to repay the debt fully without taking any further debt at OPCO level. Secondly, OPCO local currency market debt increased by $490 million as we continue to pull down the debt to opco as part of our strategy. Over 83% of the opco debt is now in local currency. Group leverage at 1.4x has remained stable compared to last year. However, the EBITDA used to compute the leverage does not fully incorporate the devaluation of Nigeria Naira, as I mentioned earlier. Hence, the leverage is expected to increase a bit in short-term. The total weighted average interest rate was 10.1% vis-a-vis 7.7% in the prior period due to increase in the base interest rate and higher interest rate on local currency of OPCO. On the next slide, I think it is worth putting context on how the significant currency devaluation in the current year impacts our near-term outlook and the steps that we have planned to mitigate the same. As mentioned previously, due to staggered devaluation of the Naira during the year, the full impact of entire devaluation has not been reflected in FY '24 results. And as we mentioned that if we use the closing exchange rate of 1303 naira per USD, the reported revenue would have declined by 16.7% as against 5.3% decline in the current financial. Similarly, EBITDA would have declined by 18.3% to $2.1 billion as against 5.7% decline reported. Q4 EBITDA margin, 46.5%, largely reflect the latest impact of foreign Forex and inflationary headwinds, and also partly contributed by the mix change because of contribution of Nigeria operation as compared to the previous year, has come down significantly due to the devaluation. Our mitigation, we are focused on distribution expansion, investment in network infrastructure to drive revenue growth and improve our customer experience. We plan to further reduce our U.S. dollar exposure and judiciously deploy CapEx to secure highest return on investment. And we also renegotiate with the tower companies to deploy renewable energy solution to reduce our reliance on diesel cost, and therefore, the headwinds which we face on the diesel price. I'll now hand over to Segun to conclude the presentation.
Olusegun Ogunsanya: Thank you, Jaideep. Finally, a few words from me. In terms of the outlook, as we've seen from our results, our focus has consistently driven positive momentum across the business. Very key to delivering value to our stakeholders, is to continue to drive growth across our base. Our focus will remain on investing in our network. And on further is finding our distribution network to be closer to our customers. And at the same time, we look at new bodies for growth, particularly in data centers and FICA. Clearly, our results have been impacted by 2 mega wins, one significant foreign currency devaluation in Nigeria and increase in energy cost across the number of countries in our portfolio. But the great opportunity is across our network remains compelling. Growth potentials in our 14 markets remains very compelling, and we are very well positioned to deliver this opportunity. We will continue to focus on margin improvements from the recent level of round 46.5% as reported in our Q4 results. And with that, I would like to turn all of your attention today. I'll now open the floor for questions.
Operator: Thank you. [Operator Instructions]. The first question we have is from Rohit Modi of Citi.
Rohit Modi: A couple of questions from my side. Firstly, on your CapEx guidance, given there is a deferral of CapEx plan from last year to next year, your CapEx antelope looks like declining a lot from your guidance last year. What exactly is driving this? Is this specifically driving from one country or one area like there from Nigeria or any other areas that you would like to highlight? Secondly, on your margin guidance, the margin impact from diesel cost in 4Q in Nigeria. Given the Nigeria margins were flat, what was the diesel impact? If there was no diesel impact, what kind of diesel price impact do you expect next year in Nigeria in terms of how much decline do you expect in Nigeria in terms of margins? Thirdly, if you can please side around what would be your run rate for cash lease repayments next year, given you how IHS contract recently done? What kind of impact do you see overall? Does your lease costs grow substantially next year or remains slightly up from this year? Thank you.
Olusegun Ogunsanya: Let me start with the CapEx guidance. Last year occupancy, I mean, add some balances for data center investment. This year, we provided for around $40 million in the 727 guidance we've given. So more or less, it was a joint or keep a solution we exclude the one set aside for the data center. We suffer continued and significant devaluation in Nigeria largest country, but we still learn in East Africa some focus on continued investment in every of our markets. Our appetite for investment is not changed. We're going to continue to invest in Nigeria despite the devaluation, despite the energy crisis we face, because we believe the long-term potential of this large market. Over 200 million people, mainly young people, they consume data and they use data on their mobile devices, that shows the depth opportunity available for us. So, we would continue to invest behind growth in Nigeria and in East Africa markets. You spoke around margin. I'm going to ask Jaideep to speak about the margin question.
Jaideep Paul: Yes. Your second question on the margin impact, that's basically the diesel impact in Nigeria, whether it will have further impact. Yes, it will have further impact. If you see the way the diesel price has moved, especially on the quarter 4, the full impact of that, unless the diesel price improves in quarter 1, there is an additional impact, which is expected in the range of between $25 million to $30 million approximately, additional impact, which will flow through in quarter 1. However, as we mentioned that we have taken certain mitigation action to see how do you -- how we will neutralize that impact in quarter 1, or if not quarter 1 by at least quarter 2. But yes, there is an additional impact. At the current level of diesel price, there is an additional impact of around $30 million, which will flow through in quarter 1.
Olusegun Ogunsanya: Just to add a few comments to what Jaideep has said. Full year margin is 54%, that's for the full year. But for Q4 specifically, the margin dropped to 52.2%, versus 55.3% in Q3. This is a reflection of the increase in energy cost. And that's what Jaideep was talking about, that the full year impact is yet to be reflected. So Q4 is the first full quarter where the full impact of this price increase is slowing. And to give a proprietary framework about what we're talking about, the average price for diesel was around 50 naira at the beginning of the year, it's gone to 1,500, from 850 naira to 1,500, that's what we did in huge increase.
Jaideep Paul: Okay. On your third question on IHS. Firstly, the renewal impact of the 5-year renewal, which we have done has been fully factored in the lease liability. So, on that contract, there is no additional impact on the lease liability. But as you know that, because we follow IFRS 16 accounting, so all the new sites as and when it gets added, that increases the lease liability. But at the same time, we also pay off the lease liability, which is due during the year. So, that payment goes. So that's the way this works out. Next year, we don't have renewal of the old sites. But following here, we will have a renewal coming up for the sites, which we sold off during 2014, '15, '16. So that is the time, which is FY '26, maybe we'll see a bump up in the liability because again, the renewal will come, because those sites are now getting at the closure of 10-year period, first 10-year period.
Rohit Modi: Just clarifying on this $324 million repayment that you have this year, do we expect this goes up substantially next year or this -- or somewhere around this that you have this?
Jaideep Paul: That is not going to go up significantly. No.
Operator: The next question we have is from Maddy Singh of HSBC.
Madhvendra Singh: Just a couple of comments on the results, which I think are quite interesting. I really like your reduction in hard currency exposure on the debt side. So that's a huge progress for, congrats on that. And also, I really appreciate your guidance on the FX sensitivity that you talk about U.S. dollar appreciation and the sensitivity to the earnings rather than naira depreciation because it gets quite confusing when people use depreciation. So, thanks. And then a couple of questions from my side. Firstly, on the performance in Francophone Africa market. Just wondering what was the reason behind the softer performance there? You talked about MTR cuts. I think there were some issues in Gabon as well. So, if you could quantify these separately and also whether you think these impacts are temporary in nature? Or do you think the impacts will be lingering on for the next year? And the second question is on Nigeria. So, any comments you can make on the pricing environment or actions you have taken during the quarter? Have you had any update from the regulators on a potential price hike and your approach around pricing, has that changed at all? And then finally, just a clarification on CapEx, the guidance, whether that includes leases as well? Or it is purely PP&E related?
Olusegun Ogunsanya: Let's start with the Francophone group. Yes, we've seen some slowdown in Franco. This is driven mainly by intense competitive pressure in 2 of our key markets. This is driving the industry to go down. I believe this is temporary. I think the easier is to report of that is also sustainable. This will be repassed when all of us decide to now compete on for the diversion price. But that is what it is on top, intensive competition driving the price down. We've put in a number of measures in place to mitigate this outcome of the competition. And I'm very confident that I mean, that will be fully mitigated. And also, one of the key markets, we have introduction of 5% excise tax, that also seen growth at Franco. Your question on Nigeria, as you very familiar with our growth, we don't depend on prices for primary revenue, we basically use consumption. We like our customers to consume more minutes, consume a lot more data, and to use us for mobile money transaction. We don't use price. Of course, when they are supported for pricing, we don't see that in the price guide, but our key focus is on landing usage by providing enough for the good data pools a very good place and making mobile money opportunity as is a good word. But despite that, we been in discussion with regulatory in Nigeria for opportunities for Telcom prices reflected inflation in the country. You've seen mass in evaluation of the currency. We've seen the inflation rate in terms of 30%. We've seen diesel price growth like I said. And the regulatory is also very understanding. We continue to work with them to make sure we have the right pricing for our products, starting that continental good confusion or now to maintain the health of the industry, and at the same time on the customers in the country.
Jaideep Paul: So just 2 points. One, you asked that what is the impact in Francophone country because of the IUC rate reduction. If the answer is roughly about $2.5 million per quarter. That's the impact of IUC rate reduction in Franco countries. And your last question, I already understood was that CapEx. Will the CapEx included lease, no, the CapEx does not include lease. This is only tangible CapEx. Lease is part of the overall liability. So, it's not treated as a CapEx.
Operator: The next question we have is from Maurice Patrick of Barclays. Okay. Since there's no response from that line. The next question we have is from John Karidis of Numis.
John Karidis: Firstly, Segun, huge congratulations for everything you've achieved at Airtel Africa, and the very best of luck to you for the future. I wanted to ask questions around mobile money, please. So, are you still on to list mobile money sometime next year now? Secondly, I'm trying to sort of try to understand the, let's say, the top 5 business, mobile money businesses you have within your 14-country footprint. In terms of trying to figure out which ones they are, presumably, do we simply look at the population of each country, and that would be a good indicator of what your top 5 markets are, excluding Nigeria, of course. And then specifically in each of those countries, I'd love to understand how your business stands relative to your primary competitor? Is it reasonable to say that your competitive standing in mobile money is likely to reflect your competitive standing in mobile services?
Olusegun Ogunsanya: Yes. Thank you, John, for the best wishes. I really appreciate. Let me take your first question on the mobile money IPOs. If you recollect, given guide. The mobile money business within 4 years of initial minority deal. So, 4 years, 1 year to go, that's going to be some time next year. We stand by that guidance. We've not changed that guidance. So, that is short answer to the guidance systems. We still plan to IPO mobile money within 4 years, 4 years end sometime next year. The second question, very top 5 mobile money market, we are having in our portfolio. The mainly in East Africa. We have the Zambia, we have Uganda, we have Tanzania. We have the Malawi, and the top 4. So, we have 2 countries in French-speaking contract. Gabon, the one in DRC, other than the East Africa. In Zambia, we're the market leader in the mobile money business. In Uganda, we've got only 2 operators. We are more or less at par. I don't see any undifferentiated to operate ourselves and less competitive. In Tanzania we have 3 operators, and we are in the mobile money space. In Malawi, we are, of course, a clear market leader. We're also clear market in the mobile money space. In some markets, as correlation between your GSM sites that mobile money price, you are winning. But we've also seen that's very strong correlation. In Zambia we started from behind and we know, number one, so it depends on what you do remember I listed and a few things that are essential to the success of mobile money when it's on the decision infrastructure. We've invested behind this way before some of our competitors started investing behind the mobile money space. So, this mission is quite key. We actually planting ATM's, ATM's are those agents who run their mobile phones, their stream cash for float or float for cash. That's mobile ATM. That's what we've done way ahead of many people. We've launched about 29,000 mobile money branches exclusively working for us. Number 2, we've created a very good ecosystem whereby it's easy to move money from your bank account to your mobile wallet and can do it the other way. We've also encouraged additional products that make the mobile money offering more attractive. Those are the things we've done, yes, because you've got a very strong infrastructure, you can support your mobile money business, but it depends on how well you can use that infrastructure? We've done a good job of using the infrastructure we've set up for mobile services in key markets like Malawi, but in other markets where we're not the market leader, we actually use our own mobile money infrastructure. Starting from foundation, rolling out branches, rolling out agents, creating use cases, having a good ecosystem of players to drive our mobile money offering. So, to summarize, our 6 key markets are Zambia, Uganda, Tanzania, Malawi, Gabon, and DRC, equally split between French-speaking and East Africa, where speak English. Of course, East Africa is where the poster body for mobile money is in Kenya. So, we leverage that affinity for mobile money in East Africa to drive our mobile money business as well.
Operator: The next question we have is from Tracy Kivunyu of SBG Securities.
Tracy Kivunyu: Thank you very much for questions. I just want to continue with the mobile money questions and we go back to Francophone. The mobile money question. First, of your 205,000 agents in Nigeria and have seen quite material improvement in your agency growth there? How many of those performing OTC transaction?
Jaideep Paul: We can't hear. There's a little background noise.
Tracy Kivunyu: Operators is this better? Okay. Good. Yes. So, I was asking about your agency distribution. So, of the 205,000 mobile money agents you have in Nigeria, how many of those are performing OTC transactions, providing the standard transactions that you cash out and any other payment options? And then second, could you give us more color regarding the media revenue generation for sales for Momo in Nigeria? And the transaction value that you've been able to deliver so far. Third, which transactions have been impacted? Or do you expect to be impacted by the cybersecurity levy that is expected to come out in a couple of weeks? And then fourth, on the AMC listing, the last communication we had in the FY '23 report indicated that Nigeria, Tanzania, and Congo are not part of the, of course, under AMC. So, just sort to confirm that when the listing is happening next year, will we see those be excluded? Or is there a part to get them included in the listing. And then last year, mobile money is post-listing, will there be any revaluation of the EBITDA margin financial, rather looking at how you split infrastructure costs for GSM and mobile money. So, is there any dose risk to the AMC EBITDA margin? And then my last question will be on the Francophone region. I think, Segun said sales up of 5%. Please clarify if such this case? And then second, what were the fixed frequency fees that we introduced in the Francophone region.
Olusegun Ogunsanya: Very many questions. I just can't take the one about the AMC. We said we're going to list next year. I'll be going to list when we have other countries in the envelope. We still like a year away from that time. So, I can't make any more comments on that listing beyond what we've said that we list the business next year. We continue to bring additional countries into the envelope. When we list, the ones who are available will be part of the business. But unfortunately, I can't say anything more than that planned listing. On Franco., I did mention we got a 5% excess tax in one of the countries and we've taken that 5% instead of passing it down to the customers. So, that is what it is, that slowed down our growth in Franco countries. You mentioned the cybersecurity level. It was announced couple of days. We're not very clear about how it's going to operate. Basically, after the transactions, I presume if you move money from your wallet to another wallet you might be parted. But I must confess another report details. Once again, my team in Nigeria is analyzing the food in front of us on our business. And as soon as we have all the information, we would clearly come back between you and that. We also wanted to know the number of active agents we have out of the 200,000 agents in Nigeria. All of them are active. That's why we call them agents. If they are not active, we don't report them, to the 205, 000 agents. They are the active agents we do as in a minute cash out. I don't know if I've missed any other. We mentioned the use case. The major use case for now is the recharges. And that is the first product you adopt when you enter the mobile money space. You don't cash in, cash out yourself, recharge your customer. It works for everyone. Easier, more convenient for customers. Agents make money. It's also easier for us in terms of deploying. So, that is what it is. Have I missed? Jaideep.
Jaideep Paul: Just a couple of more questions as I noted down. One question was on the dilution of margin in Airtel money. That was the question. I don't see any reason why it will be -- I mean, because of the business model, there is no chance of dilution of that margin. But yes, dilution is also dependent on the corresponding impact of devaluation and many other stuff. But on a constant currency basis, there is no reason why mobile money margin will be drop. The last question was on fixed frequency chart increase in Gabon. If I understood it correctly. The impact is $2 million per quarter. That's the impact because that has gone up by $2 million per quarter.
Olusegun Ogunsanya: And by the way, on the mobile money business EBITDA, we actually expanded EBITDA in the last financial year. It's an expansion of a contraction. If you expand EBITDA, it's actually preaching to the EBITDA of the food business. So that's what champion that's going to share here.
Operator: The next question we have is from Maurice Patrick of Barclays.
Maurice Patrick: Can you hear me okay this time? Great. The U.K. telecom they also working. Excellent. Right. A couple of questions from my side, please. You said in your prepared remarks, Segun, that you would build 3,000 sites this year, taking our total to 34,500. I'm just as to as we look forward for the next couple of years, how many more sites you think you'll build? And if in fact, most of those are likely to be in sort of new rural areas? That's the first question. Maybe I'll just pause it up. Maybe you can take that one first.
Olusegun Ogunsanya: We did about 3,000 sites last year, that's what I said. As indicated at this year. But just to give you some color, we do the same number of sizes every year. So, we'll see similar size in next financial year. Also, a breakdown of the 3,000, about 900 in rural areas in last financial, you have 3,000, 900 in rural areas. Some of coverage, meaning additional coverage in areas we're not covered. Some of our capacity, mainly in urban areas where we do have cycle capacity to offload the traffic. To that population or the split of the 3,000 sites and probably similar numbers in this financial year.
Maurice Patrick: Okay. And just linked to that, the majority of those new sites going on existing towers or that new towers being built by VTS programs, if you could get some sense on that?
Olusegun Ogunsanya: It's a combination of both. I mean, of course, in the urban areas, we already do have many of the typo fix sites. So, it's faster and easier for everyone for us to load the clothing on the current sites. But if you increase in coverage in rural areas or in areas that are on the fringes of key open centers, they got to be new sites. And we do have quite a number of telco partners who are willing to invest in new sites on our behalf.
Maurice Patrick: Is it probably like 50-50 in terms of those 3,000 sites on VTS and color?
Olusegun Ogunsanya: I can't say what it is.
Jaideep Paul: Well, again, it depends on each country in that particular country, whether we are putting more rural or more urban, there are many models it can work. So, it's very difficult to give a percentage as an overall level because it keeps changing. But the point is that if the site is already available, then we think definitely take that site, which about Tower co is there. There's no intention of build-to-suit a new tower if already at Tower is existing, and that is suiting our requirement. So, that is fulfilling our requirement, then immediately we take that. That's the close of which we follow.
Maurice Patrick: And then sorry to kind of keep in your questions. But on the mobile money side, you talked about increasing your network by 37% to 109,000 points, if I'm not correct, not wrong. How much of that is taking it to new areas, new geographic areas, so of that 37% growth. Presumably, a large part of that is Nigeria, presumably. Maybe walk us through like how much of that densification of your existing state and how much is going to new areas, be it rural Nigeria?
Olusegun Ogunsanya: We have a very mature mobile money business in 6, 7 East Africa and French-speaking countries where we continue to expand our food plan. Nigeria is at the early stages of rollout. So, we do roll out quite a number of sites in Nigeria as well. If you want the speed, we can give you the speed at a later time, but just look for where the opportunity is and where the need is. We don't have any set formula for saying this on box. I should go to Nigeria, should go into Uganda, should go to Zambia. We do follow where the money is and precise where it is required. So, there's no formula for the kitchen there. So it depends on local requirements and where the opportunity is.
Maurice Patrick: Maybe last question barely. Is it going to new areas? Or is it more in existing areas?
Olusegun Ogunsanya: It depends on the majority of the particular country we're talking about. In a place like Uganda where we have a very established mobile money business. In Zambia where we more or less, I mean, are very dense and widely on infrastructure, we might just put additional sites in urban areas to flow traffic from existing sites. So, that's what you're going to see. In a place like Nigeria, where we just are the very early part of the curve. You're going to see more sites in new areas. You basically just starting the business, anyway. Same thing in DRC. I mentioned DRC, a good example for mobile money business. We've doubled the number of sites in the DRC. These are the things we do. Every country's got a popular requirement and we do size the distribution objective to suit our objective in that particular market. So, it's not one cap for everyone. It depends on level of maturity in need of the market. But don't shy away from locating a place where the uplifts are needed. In Nigeria it's going to be Greenfield because we're just the only part of launching the business in Nigeria.
Operator: Thank you. At this time, I would like to hand the call over to Anders for any questions from the webcast.
Unknown Executive: Yes. Thank you. So, I guess a lot of the questions, I think we have already addressed, particularly in Nigeria pricing and lager environment. That's one for you, Jaideep. This just a couple of questions on the goodwill impairment of approximately $1 billion. Be good to free to address just a decline in value of the PTE assets earlier. Yes.
Jaideep Paul: So, on this particular question, first of all, this is not impairment. Impairment is a very different thing that when my carrying value of the business goes down below goodwill, then we do the impairment. This is just a translation. As I mentioned that if you remember, the foreign currency translation result impact of $1 billion, which has gone into the net equity. A large part of that, almost 70%, 80% of that is actually coming from the translation of goodwill to local currency -- sorry, the new currency. So, this is the way it works. So, when we establish goodwill, the currency of Naira was 155. And the value in that time, the dollar value was, let's say, $3 billion. Now that there is a devaluation of currency happened. And since the local currency book -- local book is maintained in local currency, now when I translate it back by 1303, there is a natural depreciation or devaluation impact in the goodwill. That gets translated and accounted for in the foreign currency translation result. So, it is not impairment. What was the second question?
Olusegun Ogunsanya: If there are no more questions, I'd like to note this opportunity to formally introduce Sunil Taldar, who's going to take over from me as CEO on July 1. Sunil, want to say some few words to you.
Sunil Taldar: Thanks, Segun. Good afternoon, good morning, and thank you once again for joining this call. By way of introduction very quickly, I joined Airtel about 7 years ago, and used to run the market operations for Airtel in India before joining Airtel Africa. Since joining Airtel Africa in mid-October, I've traveled to 9 out of our 14 operating countries, which contribute to 85% of our total revenues. And I got this opportunity to interact with more than 200 colleagues, customers, partners, regulatory authorities, and other industry leaders. I must say I'm very encouraged by the opportunities I saw to grow our business across B2C and B2B for both GSM and Mobile Money and serve our communities by driving visual adoption and financial inclusion. Demographics in markets we operate in are very, very attractive and resilient economies despite all challenges that we've seen in the last financial year. Categories we operate and have no penetration for both GSM and mobile money, offering us landgrab opportunity to continue to grow our base. Young and aspiring population offers an opportunity to continue to drive data usage and data revenue growth as the customers upgrade from feature phone to smartphone and demand for connectivity growth. I see clear opportunities to drive digitization and work with our network, our channel partners to deliver great customer experience, improve productivity and sweat our assets better. Overall, I must say I'm really excited to be part of the Airtel Africa team and look forward to interacting with you in July when I come and share our results at the end of quarter 1. And I'll hand forward back. Thank you.
Olusegun Ogunsanya: Yes. Thank you, Sunil. Finally, I'd just like to say that Africa is the continent of opportunities. And it's been a huge privilege for me to lead this business over the last 3 years. And I believe that the company is ready to continue to deliver the opportunities we have in Africa. I also look forward to taking my new role, as the chair of the Airtel Africa Charitable Foundation. And I will continue to be in touch with Airtel Africa. I'm seizing this opportunity to say thank you to the entire scope, some of them on this call, our employees from over 43 different countries, 43 different nationalities working for us. And of course, the Board for their support and guidance over the last 3 years. With that, I say thank you to everyone who joined the call. Thank you. Have a good afternoon.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for joining us. You may now disconnect your lines.